Cecilia Romero: Good afternoon and thank you for joining us for Sabadell's Results Presentation for the Third Quarter of 2020. My name is Cecilia Romero. I'm the Head of Shareholder and Investor Relations. And presenting today are our CEO, Jaime Guardiola; and our CFO, Tomas Varela. Today's presentation will follow a slightly different structure to last quarter. Our CEO will start by going through the key developments of the quarter and discuss some new - of the new strategic initiatives that we're implementing. Additionally, he will provide details of our commercial activity and business performance. Our CFO will then discuss financial results, our credit risk profile, asset quality, liquidity and capital, before our CEO concludes with some brief closing remarks. I will now hand over to Mr. Guardiola to kick off our presentation.
Jaime Guardiola: Good afternoon, Cecilia. Good morning, everyone. Thank you for joining us today. I would like to kick off our presentation by going through some of the key developments during the quarter in Slide 4. Firstly, our capital position is on track to outperform our guidance. Our CET 1 ratio has improved by 22 basis points in the quarter to 12.9%, which is 355 basis points above our regulatory requirement. Our CET 1 pro forma of fourth quarter regulatory tailwinds and the depository business disposal is at one of the highest levels in our history, at 13.4%. Secondly, I would like to announce that we are undertaking an efficiency program in Spain, which will allow Sabadell to simplify its structure while reducing its cost base. At the same time in the UK, steady progress continues to be made in the restructuring plan put in place back in 2019. And we expect the restructuring to be completed one year ahead of schedule. The restructuring program in Spain along with the incremental benefits obtained from the acceleration of our UK plan will allow us to increase our annual pre-provision profit by more than €115 million starting in 2021 before being fully realized in 2022. The initial restructuring charge in Spain will be incurred in the fourth quarter of this year. And it will have no upfront negative impact on capital, as it will be fully funded using the capital gains realized with government bond sales from our amortized cost portfolio, this October. I will go over this in more detail later in the presentation. Thirdly, we still have unrealized - large unrealized capital gains remaining in our hold to collect portfolio of around €1.3 billion, following the October bond sale just discussed, which represents more than 100 basis points of CET 1. In addition, I would like to highlight that with the acceleration of its restructuring TSB is on track to return to underlying profitability and will break-even in 2021. Furthermore, we have seen better-than-expected asset quality trends this quarter, which support our lower cost of risk guidance. Our NPL and NPA ratios have improved on a quarter-on-quarter basis, currently standing at 3.8% and 5%, respectively. These data indicates that default rates are increasing less rapidly than we initially expected. And in this context, we are improving our credit cost of risk guidance for the year end to between 85 basis points and 90 basis points, compared to 90 basis points to 95 basis points, previously. And finally, regarding commercial activity, loan volumes are recovering steadily growing around 5% year-on-year at both ex-TSB and TSB level. On the next slide, Slide #5, we show our cost reduction initiatives both in Spain and in the UK. The implementation of the Spanish efficiency plan and the small incremental benefit obtained from the acceleration of the UK plan, will help us to improve our pre-proivision profit by more than €150 million. The plan will be launched in the fourth quarter of the year, with savings starting to materialize in 2021 and fully realized by the end of 2022. Please note that the new efficiency plan in Spain and the acceleration of the UK plan will not have any impact on our capital ratios, as their restructuring costs will be fully funded with the sale of a small portion of our amortized cost portfolio. The positive impact of €115 million already considers the loss of NII derived from the bond portfolio sales. Looking at both plans in more detail in Spain, we are undertaking a 360 degree transformation program. As you know COVID-19 has brought a paradigm shift, and has accelerated changes that were already happening, such changes in customer behavior, living to increase automation, and digitization, as well as workforce shaping, and new ways of working. Our plan has a dual approach. Firstly, it will include different initiatives and projects designed to foster the digitization of customer service and accelerate the deployment of a superior digital banking offering. These measures will support the reduction of non-sale interaction with customers in our branches by incentivizing the shift to self-service. They will also enable self-servicing for certain call center activities. Secondly, we will simplify our corporate center by reducing vertically and by centralizing functions and skills such as modeling, control and reporting, planning, etc. These measures will simplify our personnel structure, and will allow a further reduction of outsourced services. Furthermore in the UK, we are speeding up the restructuring plan that we announced in 2019 with a view to fully implement it one year ahead of scale. Overall, the UK plan will mean the closure of 164 branches in 2021 and a net reduction of around 900 full-time employees. It is also worth noting that the restructuring costs needed to achieve the savings envisaged in our business plan have been revised the worth from £180 million to £170 million pounds. So far, we have already incurred £126 million of the total restructuring costs associated with our UK plan. After implementing these restructuring plans, we will return to underlying profit and breakeven in 2021 on a standalone basis, and will be profit making going forward, as mentioned earlier. In the next slide, Slide 6, you can see the evolution of our CET 1 ratio in the quarter, which increased by 22 basis points to 12.9%. Including pro forma elements, such as the change in the potential treatment of software assets or the sale of our depositary business the CET 1 ratio increases, to 13.4%. As you probably know, the maximum prudential amortization period for software assets has recently been extended to three years, and this has increased its impact to 40 basis points expected in the fourth quarter of this year. Closing the disposal of the depository business will contribute 8 basis points, and this is expected to occur in the second quarter of 2021. This capital position already places us above the year end guidance of 12.7% announced in our last results call. To finish this section of the presentation, in Slide 7, we go through the key elements that have supported our decision to lower our year-end credit cost of risk guidance. Firstly, our structural analysis presented during our second quarter results call has been updated. And we can confirm the multipliers of pre-COVID period remain very similar at 1.3 times for the base case and 1.8 times for the adverse scenario. Our revised Group credit cost of risk guidance of 85 basis points to 90 basis points implies a multiplier of 2.2 times the pre-COVID level. Furthermore, IFRS 9 models have been reviewed, considering our newly revised macroeconomic scenario, which is in line with the latest scenarios from key regulators. Moreover, NPL trends have been strong in the quarter with the lowest NPL inflows year-to-date, NPL inflows were down by 50% in the quarter and by more than 20% in the year. These better than expected asset quality trends support a lower credit because of risk guidance for the year of 85 basis points to 90 basis points, when it previously was 90 basis points to 95 basis points. Finally, we have prepared additional risk disclosure for our credit portfolio, which showcase its resilience. Tomas will discuss all these in detail later during the presentation. Moving now on to business performance. Looking at our performing loans by region in the Slide 9, this quarter growth was mostly driven by a very dynamic mortgage book at TSB as the result of higher activity levels in the UK market. This was partially offset by third quarter seasonality in Spain and lending volumes in foreign branches which were impacted by exchange rate movements. Volumes in Mexico decreased in the quarter hampered by weaker economy activity and reduced need for liquidity among corporates. But they were still up by more than 20% - 23% year-on-year. Overall, Group performing loans grew by 0.3% in the quarter and by more than 5% year-on-year. This is a faster growth rate than that of the second quarter. The Slide 10 shows customer balances excluding TSB. On the left-hand side you can see the breakdown of performing loans. Overall performing loans decreased by 0.8% in the quarter and grew by 5% year-on-year. This quarter-on-quarter performance is explained by lower demand for the ICO-guaranteed loans and the third quarter seasonality. And one - and the main segments to support volumes in the quarter was SMEs despite a decreasing demand for the ICO-guaranteed loans. As occurs every year in the third quarter, negative seasonality had an impact on other lending to individual as the €0.6 billion related to Social Security payments were reversed in the quarter. Mortgage loans show a positive growth in the quarter year-on-year despite seasonality supported by renewed levels of activity post lockdown. Our customer fund remained stable in the quarter as the funds continue to flow into current accounts. Mutual Funds grow by 1% in the quarter increasing for the first time since the second quarter of last year. Moving on to Slide 11, we can see that commercial activity in Spain has surpassed breakeven levels in both retail payment services and credit cards. Moreover, credit card turnover in the third quarter is higher than it was last year. Our market share, which is shown at June 2020, has decreased slightly. This is mainly because the rates of corporate cards in Sabadell is double than the industry and their turnover has fallen significantly due to the lockdown. This effect will be reversed in the coming months. Regarding mutual funds, the market share is slightly lower in year-on-year terms, but it is important to highlight the increase of 8 basis points recorded so far this year. In this regard, we are taking advantage of our partnership with Amundi. Continuing with Slides 12, we can see how new lending to retail customers has continued to recover in the third quarter, while demand for the ICO-guaranteed loans has declined. Regarding new lending to companies after the huge increase in the second quarter which has driven by the ICO-guarantee problem, we are now returning to business at usual levels. Looking at the right-hand side of the slide we can see how credit facility drawdowns have remained steady compared to the second quarter after increasing at the end of the first quarter. Regarding new lending to individuals, new mortgage lending has increased by 55% compared to the previous quarter and new consumer lending has increased by 102%. We have surpassed pre-COVID levels in both products. Turning now to TSB in the Slide 13, on the asset side, net lending grew in the quarter across products. Mortgages grew by more than 3% which is the highest growth rate we have seen - we have seen since migration. It was mainly driven by a surge in mortgage application supported by the temporary reduced rates of a stamp duty land tax applied since July. Consumer lending has bounced back due to a rise in consumer spending and consumer spending after the easing of COVID-19 lockdown restrictions. This quarter business banking loans kept growing but at a slower pace, driven by demand for the UK government's Bounce Back Loan Scheme. Overall, year-on-year net lending was up by more than 5%. On the liability side, customer's funds continue to increase across all products. This lower growth of deposits is the result of higher consumer spending levels after some of the lockdown restrictions were lifted. Furthermore business banking deposits continue to benefit from a steady inflow of funds, as companies make ongoing use of the UK government's BBLs. The figures on the left-hand side of the Slide 14 show the good performance of TSB's commercial activity in the third quarter. New mortgage lending volumes are the highest they have been since the second quarter of 2017. Meanwhile, new unsecured lending volumes are the highest level since the first quarter of 2017. TSB also continues to make good progress in its strategic plan beyond restructuring acceleration. Regarding customer focus, TSB has launched new products to help deliver money confidence to customers, and continues to make progress in digitization. Regarding operational excellence, the other key work stream of a strategic plan TSB has taken on direct control of technology services through its partnership with IBM. In the Slide 15, we provide details about the key COVID-related financial solutions that we have offered to our customers both in Spain and in the UK. Regarding the statutory payment holidays in Spain, the outstanding principle of live payment holidays, as at end of September was not material. Around 70% of customers with expired statutory payment holidays move to the sector specific program. The rest of the expired payment holidays has no significant impact on asset quality. On the other hand, the outstanding principal of live sector - sector-specific payment holidays stood at €2.5 million and over 90% were secured loans. To-date, the past due amount of this type of payment holidays is not material. In TSB, looking at live payment holidays, the outstanding principal that surfaced September amounted to £1.4 million, 97% of which were secured. This amount has decreased significantly quarter-on-quarter and represents just 4.6% of the overall mortgage book and 2.4% of total unsecured loans. In terms of expired payment holidays, the outstanding principal amounted to £3.7 billion and there was no uplift in NPLs coming from these loans. At the bottom of the slide, we can see the solutions provided to SMEs and corporates. In Spain in terms of the ICO liquidity guarantee line, so far, we have granted €10.5 billion and we have a further €0.9 billion in the pipeline. Finally, circa 21,000 TSB customers have already benefited from Bounce Back Loans, amounting to £524 million. These loans are 100% guaranteed by the government. To finish this section of the presentation in Slide 16, we show the most important milestone achieved in the third quarter in relation to sustainability. I would like particular - I would particularly like to highlight our inaugural green bond issuance and the launch of new financial solution for customers linked to sustainability. And with that, I hand it over to Tomas.
Tomás Varela: Thank you very much, Jaime. Good afternoon, everybody. Regarding our quarterly results, in Slide 18, we reported a net result of €57 million in the quarter. The pre-provision income increased by more than 14% after having front-loaded a significant amount of TSB's restructuring costs this quarter for a total amount of €76 million. The closing of the Real Estate Developer disposal represented a small net profit of around €9 million in the quarter. And year-to-date we have reported a total net result of €203 million. In the following slides, I will go through the results in more detail. Moving on now to Slide 19, Group net interest income increased in the quarter by 2.5% and declined by 6.2% in the year. On the top right-hand side, we show that quarter-on-quarter NII was positively driven by the benefit of the TLTRO-III, higher volumes, a slight increase in ALCO contribution and the recovery of overdraft waivers and deals in the UK. Factor which reduced NII mainly include lowered overdraft fees in Spain deals at the ex-TSB level and the impact of foreign exchange. Over all NII ex-TSB was up point 0.6% in the quarter while TSBs NII increased by 8.7%. Finally, in terms of sensitivity to interest rates, based on the balance sheet as of the end of this quarter, an additional increase of 10 basis points in all relevant rates will increase NII by €33 million and a decrease of 10 basis points would lower it by €25 million in the 12 months following the rate change. Turning to Slide 20, we show the evolution of front book yields in Spain. Mortgage from book yields reflected a higher contribution of fixed rate mortgages but also falling long term interest rates. As you can see on the left-hand side of the slide, while the relevant euro swap rate has decreased by 10 basis points on average this quarter from book yields in mortgages declined by 4 basis points only. We can see a similar effect on loans to SMEs and corporates. And while the relevant swap rate decreases considerably, the front book yield for this segment increased in the quarter. Furthermore, it is also worth highlighting the increasing consumer loans from book yield which is driven by higher pricing. So overall, we have managed to protect our front book yield despite the low interest rate environment. Finally, it is also worth noting the change in credit mix with a higher proportion of mortgages this quarter, which explains part of the decrease in overall deals at ex-TSB level. In Slide 21, you can see that group NIM was mainly impacted by lower loan deals at ex-TSB level, and higher assets derived from TLTRO III funding. Lower loan yield, ex-TSB resulted from changes in credit mix, the cost of the ICO guarantee, lower overdraft fees in Spain and a lower contribution from Miami and Mexico derived from decreases in the relevant interest rates in these regions. All these factors were partially offset by a higher customer spread at TSB due to the recovery of overdraft fees and lower cost of customer funds. Moving on to Slide 22, as already mentioned earlier during the presentation, in October, we sold a portfolio of Spanish bonds from our held to collect portfolio to fully fund our efficiency plan in Spain and the acceleration of TSB restructuring. The sale will result in enough capital gains to avoid any upfront negative impact on capital from the efficiency plan. Actually efficiency plan which - the effects that we've shown in the presentation in terms of net impact on the pre-provision profit, are mainly due to the efficiency in Spain. At the same time, Sabadell will retain half the capital gains in its held to collect portfolio of around €1.3 billion. This slide also gives you a snapshot of our fixed income portfolio per sale. On the left-hand side of the slide we show pro forma yield, maturity and duration, and on the right-hand side the composition of our overall portfolio. As you can see, these remains limited. More than half of the portfolio is composed of Spanish bonds, the rest is mostly Italy, all of it at the held to collect portfolio, Agencies Covered bonds, and other governments like UK and Mexico. Finally, the capital position sensitivity to bond spread volatility remains low as Fair Value OCI composition continues to be as small with short duration. In addition, only 2% of our portfolio will mature over the next two years. In Slide 23, we show that Group fees went up by 1% in the quarter driven by the recovery of activity levels post lockdown, which in turn increased service fees in Spain by more than 4% in the quarter. TSB fees also grew significantly as lockdown restrictions were erased. Asset management fees were impacted by the closing of the Sabadell asset management business disposal, which has represented a reduction of €11 million in the quarter. For the rest of the year, improved activity levels and dynamic corporate lending will continue to have a positive impact on fees. Moving on to Slide 24, Group total expenses were up in the quarter impacted by the acceleration of the TSB restructuring plan. TSB restructuring costs amounted to €71 million in the quarter and the €83 million year-to-date. Group recurring expenses declined, by 1.9% in the quarter, driven by both Spain and the UK. In Spain, lower recurring expenses were driven by lower personnel expenses, supported by a reduction of total employees, lower travel expenses, and such things as reduction in training expenses, given the shift to online training, and others. In the UK, low recurring expenses were supported by a decrease in general expenses mainly related to third party advisory services and marketing. Overall, we expect total costs for the full year to decrease year-on-year excluding the impact, of course of the restructuring costs at ex-TSB level that we expect for the fourth quarter. In Slide 25, our credit provisions excluding costs amounted to €206 million in the quarter. This was significantly down quarter-on-quarter, which was supported mainly by asset quality trends. IFRS 9 models were updated in Q2 with a new COVID-19 macro-scenario resulting in that moment in a significant amount of provisions being front-loaded ahead of H2. Overall credit cost of risk year-to-date was 88 basis points where we expect it to remain by year end. Now, we start the section credit risk profile in Slide 27 of the presentation by giving an update on the breakdown of Group performing loans and the exposure to sensitive sectors as well as an update on the structural analysis that we presented in Q2. A reminder of the methodology of this structural analysis that we used has been included in the Appendix and we keep using, is included in the Appendix of the presentation. The portfolio mix and the exposure to sensitive sectors have remained relatively stable. 67% of the portfolio is collateralized. The exposure to the most sensitive sectors remains at circa 8%. The structural analysis update shows a multiplier which is presented in the lower right-hand side of the page is, shows a multiplier of pre-COVID period levels which remains at 1.3 times in the base scenario, and increases from 1.7 times to 1.8 times in this stress scenario. While the multiplier implied by our guidance of 85 basis points to 90 basis points over 2019's cost of risk is 2.2 times. We will now present on Slide 28, the profile of some of the most relevant portfolios starting actually here, in a couple of slides, the profiles of these portfolios. We start here with Corporates & SMEs ex-TSB, which is a very diversified portfolio in Spain and going on to look at the portfolio model made up of Corporates in our International Branches. The business in Spain is well diversified in terms of company sizes, sectors and segments. The exposure to micro-enterprises represents just a 16% of the total. This franchise is renown and is composed by companies with a sounder than average financial footing that have been our clients for an average of 10 years and which tend to have much higher volumes of international business than their peers in the Spanish landscape. This can be seen in the upper right-hand side table, which shows that in our portfolio, our international regular customers account for 6% of the total versus the 1% amongst all micro-enterprises in Spain. More than 80% of the exposure is guaranteed, and the loan-to-value of their mortgage collateral is 52%. Similarly, for the other size, bigger size segments, our clients always present a more international profile than their peer's average and an enduring relationship as our clients. Both of these factors provide an intense level of transactionality that traditionally has worked in favor of our reselection abilities. These segments include small and medium sized enterprises, large corporate holdings and specialized lending companies which encompass a wide range of financing solutions tailored to their complex and sophisticated needs. As we can see in the table on the middle right hand side, their debt-to-assets levels have remained quite stable since May, when the bulk of ICO loans and other solutions were put in place. At this stage, they remain at moderate levels on average, rather than putting a major strain on company's financials. Looking now at the table on the left-hand side, the top right columns show the output of the updated structural analysis which support the summary that we have seen in the Slide 27. The total in this base scenario remains at 1.4 times and in this stress scenario, it increases to 1.9 times. The table on the lower right-hand side shows the observed default rates for these segments in 2019 and the average over the last three years. The multiplier observed at the peak of the last financial crisis in the year 2012 in relation to the previous year 2011, is also provided to set as a benchmark. The observed default rate for micro-enterprise is around 3.6% and it ranges from 1.2% to 1.8% in the rest. This all demonstrates the resilient performance of these portfolios. The 2012 multipliers of between 1.3 times and 1.6 times are below the multipliers shown as the output of the structural analysis in the same slide and in the summary of the previous slide. In Slide 29, we present all the portfolios. Mortgages in Spain amounted to €32.8 billion with an average LTV of 68% and an affordability of 24%. The new lending metrics also show a high asset quality, as only 4% of new mortgages have an LTV above 80%, only 16% show affordability of over 40% and only 1% are above both of these levels. Over the last few years, they observed default rates for these mortgages have remained at around 0.8% to 0.9%. And in 2012, at the peak of the last financial crisis, which was characterized by much higher household indebtedness levels and much higher mortgage LTVs than those that exist at present, the multiplier with respect to the previous year was 1.7 times. The retail and self-employed portfolio is relatively small at €3 billion. The average length of this customer's banking relationship with us is eight years. 46% of them are in sectors of activities, or activities where the COVID impacts has been non-existent or very low, such as pharmacies, which represent 21% of the total or medical practices, tax advisors and the like. The observed default rate is 4.3%. And that 2012 multiplier was 1.6 times. For consumer lending which amounts to €3.2 billion, the observed default rate is 4.8%. And the 2012 multiplier was 1.5 times. And finally, as we have been reporting in our presentations before TSB's mortgage portfolio of £28.7 billion is better than the average portfolio in the UK with an LTV of 45%, a loan to income multiple of 3.3 times with buy-to-let and interest only products or mortgages accounting for 12% of the total. Now in the following sections of the presentation, we will look at asset quality. In Slide 34, you can see that our Group NPL ratio has improved this quarter to 3.81% from 3.95% driven by a lower level of inflows as well as an increase in recoveries, thanks to our active management of NPLs. In fact this quarter, we saw the lowest level of inflows in the last year. This demonstrates the effectiveness of the support measures put in place due to COVID-19. And also some of these support measures such as the statutory repayment holiday have now been discontinued. We have seen a decrease during the quarter of inflows into NPLs. Our foreclosed asset's exposure was around €1.5 billion. Our NPL coverage ratio, remain stable at 56%, which in terms of Stage 3 coverage is 40%. And finally, I would like to highlight that more than 62% of Sabadell's NPLs are secured loans. Turning now to Slide 35, the Group once again ended the quarter with a strong liquidity position reflected in an LCR of [2006%] and close to €48 billion worth of high-quality liquid assets. The loan-to-deposit ratio ended at the quarter at 98%. Finally, as we showed last quarter, in terms of central bank funding, we currently have €27 billion of outstanding TLTRO III, which were withdrawn in the auction held at the end of last June. Half of that amount was rolled over from TLTRO II and the other half was new funding. In terms of TFS, we have £3.1 billion pounds outstanding which will likely be rolled out in new - into the new TFSME facilities. On the following Slide #36, we include the details of our current reported capital ratio in relation to requirements. Our reported total capital ratio stood at 16.5% at the end of the quarter, 355 basis points above our requirement of 13%. Our fully loaded CET 1 stood at 12%, which was 9 basis points higher than - higher in the quarter. In addition, our leverage ratio stood at 5.2% at the end of the quarter. To conclude this part of the presentation we show in the Slide 37 that we have completed our funding plan this year having issued annual amount of €2.3 billion to-date. In regard to MREL, we are fully compliant. Our eligible MREL securities as a percentage of total liabilities and own funds stand at 8.9%, which is above the 8.3% requirement. We have also met our subordination requirement of 5.2% as our current position stands at 6.5%. And finally, I would like to highlight that through the application of Article 104a, we could potentially increase by 85 basis points our current CET 1 of our buffer of our P2R by issuing circa €325 million of AT1 and circa €325 million of Tier 2. And with this I will hand over back to Jaime who will conclude our presentation today.
Jaime Guardiola: Thank you, Tomas. To end our presentation today, I would like to highlight that we have made strong progress on our key priorities ahead. Firstly, we have launched a new efficiency plan in Spain that will deliver more than €115 million additional pre-provisions income annually. The cause of the program has been fully funded through government bond sales, and we will have no negative upfront impact on capital. Post transaction, we will still retain hefty gains in our ALCO portfolio, hold to collect portfolio, circa €1.3 billion. Secondly, our commercial activity has continued to recover in the quarter with activity approaching or at pre-COVID levels in Spain and above pre-COVID level in the UK. Group performing loans are growing at around 5% year-on-year. Certainly in the UK, TSB has made substantial progress on its restructuring plan. In fact, the plan is expected to be completed one year ahead of schedule. With this, we expect TSB to break-even in 2021 on a standalone basis. Additionally, it is worth noting that TSB has also continued to accelerate its digital transformation. Finally, we help preserved the strength of our balance sheet and capital position by focusing on risk management. The asset quality trends observed this quarter support a lower year-end credit cost of risk guidance, which we have revised down to 85 basis points or 90 basis points. We have also strengthened our capital position substantially this year. And therefore we are improving our yearend CET 1 guidance to circa 13%, previously 12.7%. And with that, I will now hand over to Cecilia to kick off our Q&A.
Q - Cecilia Romero: Thank you very much, Jamie. We are now going to open the floor for a round of questions. Operator please, first question.
Operator: First question is coming from the line of Carlos Peixoto from CaixaBank. Please go ahead.
Carlos Peixoto: Hi, good morning or good afternoon. A couple of questions here from my side. The first one will actually beyond on capital. You mentioned some of the positive items that we have in store for the fourth quarter. Going - going a bit beyond that, are there any TRIM or any regulatory impacts we should be on the lookout for in 2021? And second, - second, the question would be on the on the cost side. You mentioned the €115 million expected improvement in pre-provisioning profit. And my question here would be how would this split between lower costs in Spain, lower cost in TSB and the fact that you mentioned in one of the slides which would be a lower income from the loan portfolio, so if you could - if you could detail us that? And also whether all restructuring charges had already been booked, or if we should expect some additional restructuring charges? I'm thinking particularly in Spain
Tomás Varela: Thank you. Thank you, Carlos. Capital, yeah, so the - you refer to us giving already our view on the fourth quarter. Yes, you're asking about potential headwinds in 2021. Nothing - nothing material in 2021. As we've been saying in the past, we've been reviewed for all the portfolio's in TRIM, the only one standing was a small one, a low default one for which we have a high pro forma density close to 70%. So, we don't expect visual impacts there, so, nothing else than that. In terms of cost costs, yes, we have disclosed €150 million net positive impact in pre-provision profit as the result of the restructuring project. Most of this - most of this has to do with Spain. We are referring here to TSB, the part of TSB is already taken into account in the consensus. This doesn't include all the savings in TSB as a result of the restructuring. So, and these are in the consensus. So, we are only including here a small part from the acceleration in 2021. So, most of this amount has to do with Spain. The calendar of this is, 75% will be already seen in 2021 and 100% of it will be seen in 2022 already. In terms of the restructuring charges, will be booked in full in the fourth quarter and will be offset by the capital gains that have already been realized out of the ALCO portfolio. We are, at this stage, we are not giving more details on the breakdown of this net impact but we will, as we progress in that we will be providing these details to all of you. And there is nothing else that we are expecting this year. This in overall, this is a first step on a series of cost efficiency programs that we envisage that will come after this one.
Cecilia Romero: Thank you, Tomas. Thank you, Carlos. Operator, please?
Operator: Next question is coming from the line of Britta Schmidt from Autonomous. Please go ahead.
Britta Schmidt: Yeah, hi there. And I've got a couple of questions, please. Coming back to the costs, what sort of cost inflation should we assume for Spain going forward? And maybe you can update us where we are in the rate bargaining process in Spain right now? Then I've got a question on the cost of risk. How should we think about the benefit to the annualized cost of risk in basis points from the guaranteed loans, primarily the ICO loans? Is this a benefit of, say 20 basis points to 30 basis points? I'm just trying to figure out how we should frame the cost of risk going into next year and also the comparison with the drop in NIMs that the ICO loans have led to. And then the last question would be on TSB. Is it operationally prepared for potential negative rates? And are there any potential pricing measures that you could still undertake to manage the NII better? Thank you.
Tomás Varela: Thank you, Britta. Cost inflation. So I think cost inflation should be rolling parallel to the interest rates evolution. So there shouldn't be significant inflationary forces, underlying forces in so [depressed] rate environment. Anyway, with this environment, as we had already communicated in the market, we expected that these tiers in 2020 total costs to decrease by close to 1%. So, this is how we were treating inflation. So, we were managing to keep down inflation and actually erode and achieve efficiency gains. Going forward, our view before that, before this cost efficiency program was to keep the same way in 2021. So, actually, all-in-all, we see cost at Group level next year, down in around 5%. And in terms and as for inflation, as I said, from that level on what we expect is at least, until we get a new efficiency program on, what to expect is to have the ability as we were having this year to keep inflation actually under control. In terms of cost of risk, I don't have the calculation here in terms of the impact of the ICO loan, so the guaranteed loans in terms of cost of risk but I can give my view in terms of overall cost of risk for next year. With the macro environment that we see today, our view is that the cost of risk as we were saying before, should be decreasing. We had said, we saw it halfway between the level of this year 2020 and the recovering pre-COVID levels. It will depend on how this situation that this been increasingly worsening on the health front, how this develops. But even if we see some lockdown this fall and winter, we still see it below the level this year and of course, depending on what the scenarios are, it could change. But as we see now, even with the worsening that we have seen so far, we see it decreasing. In terms of TSB, - TSB, so all banks in the UK have been asked to provide operational views on what this potential scenario could be. All banks are equally prepared operationally for that. For some banks, even it can be more complicated due to the operational IT platforms. Actually, in our case, in theory, we should say that the highly integrated platform that TSB has should help in this. And in any case, the way that TSB would be approaching this is reviewing balance sheet volumes, customer margins, and optimizing the liquidity position in terms of mitigating any potential adverse effects, if it were there. Also the use of the TSFME will be a tailwind. And - and so far, even all the hints, it's not clear that naturally the Bank of England would go, in my opinion, personal opinion, would go there. Taking into account also all the operational and legal impacts that these could have.
Cecilia Romero: Thank you very much, Tomas. Thank you, Britta. Next, operator?
Operator: Next, question is going from the line of Ignacio Ulargui from Exane BNP Paribas. Please go ahead.
Ignacio Ulargui: Hi, and thanks very much for the presentation and for taking the questions. I have just two questions. One, how do you see lending deal going from here? We have seen like 41 basis points decline. If I compare 1Q to 3Q at a Group level, how do you see the mix impacting? And whether we have seen the bottom already or there is there is anything else that we need to be aware in terms of impact? And secondly, on Slide 29, I just wanted to make sure I understand it correctly. When you say that the average portfolio longevity is eight years, does it imply that the portfolio version of the - I mean, the average of the portfolio was not there in the previous crisis? Just to understand a bit sort of like how should we see the resilience of the portfolio in terms of cost of risk in the SME book? Thanks.
Tomás Varela: Thank you, Ignacio. Lending, we see lending yields recovering, we see changes in the business mix of course, ICO loans this quarter have had a bearing on that, both due to the deals and to the cost of the guarantee. But the shift in terms of business mix with recovery of the non-ICO lending also the recovery in terms of overdraft charges, all this will support the yield and we see it recovering. There is nothing else in particular that should - we should take into account probably further support of - further recovery in terms of overdraft in Spain but nothing else in particular. We see for this fourth quarter, core revenues in Spain behaving similar to what we've seen in the third, a little bit upwards. And so, I think this is the main the main aspects that we should consider here. In terms of what you ask about Slide 29, yeah, the average ages because they - as a whole this kind of portfolio has much quicker rotation than these, but we are providing the multiplier of observed default rates. So, providing observed default rates is very valuable, because this is the performance over a long period of time. And it shows how the portfolio actually performs and what we are providing here is multiplied in 2012. So, of course, we had a portfolio there. The only thing is that the average time in this portfolio, having customer first is eight years. Sometimes because they switch and they create a company and they go from self-employed, in this case to establish a company. And therefore they become micro-enterprise. Sometimes they end or they - or sometimes they retire. This is the kind of life but we had a portfolio back in 2012. And we are showing her how at that moment this portfolio performed by providing this multiplier.
Cecilia Romero: Thank you very much Ignacio. Next question?
Operator: Next question is coming from the line of Andrea Filtri from Mediobanca. Please go ahead.
Andrea Filtri: Thank you. And you anticipated that TSB restructuring costs. Can you elaborate more why you will achieve the same cost savings in the same timeframe? And when do you think TSB will be a marketable asset? And at what conditions would you evaluate a sale? And also, what are your views on domestic consolidation and on the Bad Bank Project proposed by President [Dalia]? Thank you.
Tomás Varela: Thank you, Andrea. We anticipated the cost, yes. So this will give us some additional edge in 2021. We are saying that in 2021 the underlying profitability will be positive already, all-in-all breakeven, because there will be still some restructuring costs there, which means that we expect to be visibly positive already in 2022. Then, of course I think this has consequences for the perception of the value of TSB from which we don't have any doubt, but in the market, this will be completed. The market, my interpretation, our interpretation is that the market is expecting to see how eventually TSB delivers the savings and delivers our franchise shows that the franchise is profitable. In terms of the second one, I think Jaime?
Jaime Guardiola: Yes. Well regarding the - your second question about, are you speaking about TSB marketable assets? Okay, that's for you again.
Tomás Varela: Yeah, and - so, so I think I answered the two in one, right? Andrea, I hope this is true. Of course, we won't disclose our views on whether to sell or not, TSB. And, but as always, as we always have said - we, when we have optionality, we always take into account the best option in terms of value. And we've been absolutely true to this statement in the past, and we will continue to do so in the future. In terms of consolidation on the Bad Bank Project, we will honestly, we don't have a sound view of -
Jaime Guardiola: Okay, no, no, that's just regarding consolidation. For example, today, we have just presented which are the options that we are envisaging in our organic plan. And as we have always explained, we are definitively open to whatever option creates the most value for our shareholders. And regarding the Bad Bank that was presented in an article in Financial Times, now, I think one of these days of this week, we don't have at this moment a judgment enough built to answer the question.
Cecilia Romero: Thank you very much. Next question, operator.
Operator: The next question is coming from the line of Sofie Peterzens from JPMorgan. Please go ahead.
Sofie Peterzens: Yeah, here is Sofie from JPMorgan. So I recognize you don't want to give the impact on the restructuring costs you're going to take in the fourth quarter. But how should we think about the impact of net interest income from the bond sale? Is that - can you give me any details on how large the bond sale was and kind of the average yields that it had on your net interest income? And the second question would be on dividends. I recognize you're not accruing any dividends for 2020. Should we assume that you definitely are not going to pay any dividends for 2020, or are you? Kind of how do you think about dividends in general? So that would be my questions. Thank you.
Tomás Varela: Thank you very much. About the first one, sorry but we are not providing the details, as we as we said until we close different aspects of the whole thing. But what I can tell is that the impact in NII which we've deducted from the net - the net positive it is - it's an impact that can be mitigated with a relatively easy - in a relatively easy manner over the coming year. There may be options for that, other than of course, all the other factors of NII were driven next year by a volume growth and the other things but it's nothing. But at this moment, we won't be disclosing the different parts of the total. Sorry for that but we will be doing so in the coming times. And for dividends?
Jaime Guardiola: Okay, regarding the question about dividends. We are as you said, we are not accruing dividends but our position is that when the SSM recommendation is lifted, we will resume dividend payments.
Cecilia Romero: Thank you very much Jaime. Thank you very much, Sophie. Operator, please?
Operator: Next question is coming from of [Yernet Omahin] from Goldman Sachs, please go ahead.
Unidentified Analyst: Yeah, good afternoon, from my side as well. I have two questions, please. So the first one is on the cost of risk, and if I understood you correctly, this two comments that you made. One, you expect it to decrease year-on-year and two, that you expect it to be somewhere halfway between 2020 and the pre-COVID levels. And I was just wondering if you can sketch out for us, from where you stand today, how bad would things need to get? Or what would the incremental deterioration need to be for the credit cost in 2021 to exceed the number of this year, of 2020? So that's my question number one. And my question number two is not necessarily a question on the dividend but the question of how you see the SSM treating different banks when it comes to dividend distributions. As the rule stands today, they're the same for everybody. So as soon as you meet your capital requirements you are allowed to distribute. Do you see that changing? Do you see a situation where your supervisor takes a view on individual institutions as to who can distribute and how much, moving away from this rules-based approach? Thank you very much.
Tomás Varela: Yeah, thank you, Yernet. And about the first one, about cost of risk. So I guess, as I've said several times before, it's not - in this situation, in this crisis, with all the different factors, it's not about sensitivity to the degree of the macro scenario. This level of the macro impact in one year has been the highest that can be remembered, maybe. It's not about this, I think it's about how different parts of it move. So the government programs, what the health situation implies in terms of how the constraints and restrictions work and play out. So I think, trying to answer your question, I think for that to happen, the strong lockdown should be in place for the most part of 2021 for the cost of risk exceeding the level of 2020, I think. I think this is the kind of scenario where I think we should or we definitely might be in a different situation because of the impact on significant number of sectors on a continuous basis. So the length of the impact on the revenues, if a lockdown would extend for a significant part of 2021, I think then, we could get to a situation in which cost of risk might exceed 2020. And about -
Jaime Guardiola: Well, yes, the regarding the second question, I don't want to speculate about what is going to be the position of the SSM regarding different treatment about the dividends. What I have to remark is what they've said that when the SSM recommendation is lifted, we will resume dividend payment.
A - Cecilia Romero: Thank you very much, Jaime and Tomas. And thank you. Unfortunately, we don't have any more time for additional questions today. But thank you so much for taking the time to join us. My team and I, always remain available to help you with any questions that you have throughout the afternoon. And just have a great day and stay safe. Thank you